Operator: Good morning, and welcome to the Champion Homes Second Quarter Fiscal 2026 Earnings Call. My name is Keith, and I will be recording your call today. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to your host, Jason Blair, to begin. Jason, please go ahead.
Jason Blair: Good morning. Thank you for taking the time to join us for today's conference call and review of our business results for the second quarter ended September 27, 2025. Here to review our results are Tim Larson, Champion Homes' President and Chief Executive Officer; and Laurie Hough, Executive Vice President, Chief Financial Officer and Treasurer. Yesterday, after the market closed, we issued our earnings release. As a reminder, the earnings release and statements during today's call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company's expectations. Such risks and uncertainties include factors set forth in the earnings release and in the company's filings with the Securities and Exchange Commission. Please note that today's remarks contain non-GAAP financial measures, which we believe can be useful in evaluating performance. Definitions and reconciliations of these measures can be found in the earnings release. I will now turn the call over to Champion Homes' CEO, Tim Larson.
Timothy Larson: Thank you, Jason, and good morning, everyone. I'll talk more specifically about our results in a moment, but first, I will share some operational highlights from the quarter and how I believe executing our customer-centric strategic priorities helped us exceed expectations in Q2. Our strategic priorities will continue to provide the foundation for Champion's operational effectiveness in the near and long term. As I previously shared, one of our priorities is innovating and differentiated the products and services by customer segment and at the right price value. During the quarter, we continued introducing new home designs to provide a range of price points and value for today's customers. We have included examples of some of our latest products on our socials and an investor deck on our website. I continue to remain impressed by our team's ability to create stunning homes with relevant floor plans and features that are making new homeownership a reality for more consumers. Increasing awareness, demand and advocacy for our brands and homes is another strategic priority for Champion. In the quarter, we continue to advocate for the ROAD to Housing Act, which includes a specific title section that highlights Congress' support for off-site built homes. We are pleased that this bill has passed the Senate and on its way to the House. We will continue to monitor the legislation as it goes from the House to the President and then to HUD for implementation. On a local level, in New York State and as reported in September by the New York Times, Champion is collaborating with New York State Homes and Community Renewal as part of their affordable housing strategy, reflecting New York State Governor Hochul's 5-year plan to create or preserve thousands of homes statewide. The pilot program in Syracuse, New York demonstrates Champion's ability to provide affordable housing solutions with speed to market. The homes were installed on land provided by local land banks with the cost to build and install under $250,000 and taking less than 6 months to complete. This project reflects the momentum and increased awareness we are seeing across federal, state, and local governments and highlights off-site construction's benefits of speed, cost, and quality. Now I'll turn to the recent quarter's performance. Second quarter year-over-year net sales increased 11% to $684 million, and homes sold during the period increased 4% to a total of 6,771 homes. The increased sales through our company-owned captive retail stores and at independent retailers were supported by effective cost management, delivering strong gross margin and earnings growth in the quarter. Our teams continue to thoughtfully pace production with demand in each market. Manufacturing backlog at the end of September totaled $313 million, up 4% sequentially. The average backlog lead time ended the quarter at 8 weeks, which is within our target range. From a channel perspective, sales to our independent retail channel grew compared to the prior year period. We've been successful in adding independent distribution points in the quarter, and we believe the marketing support we provide our dealers, including digital capabilities are helping to drive success in this channel. At captive retail, sales increased versus the same quarter last year. We remain pleased with our acquisition of Iseman Homes, which helped drive this increase along with an increase in average selling price, which has been driven by our retail team's execution of new products and home features resulting in a mix shift to more multi-section homes compared to the prior year period and the sequential first quarter. Moving to the community channel. As expected, our community sales were down slightly in the second quarter versus the same period last year. Based on the balancing of inventory levels in this channel that align with moderating order rates and softening consumer confidence, we expect order and production rates in the community channel to be mixed and impact near-term sales. Sales through the builder developer channel grew in the second quarter versus the same period last year. We added several new customers in this channel and continue to see our pipeline grow. We take great pride in the work we do with builders, including providing education and support on the best practices to maximize off-site construction. I had the opportunity to see this firsthand at our builder event in Cleveland in September. Champion Financing continues to produce strong results and allows us to provide diverse financing options for our retailers and our consumers. Our retail loan programs are enabling our teams to connect buyers with the right home and the right payment that fits their needs. I'll now turn the call over to Laurie, who will discuss our quarterly financial performance in more detail.
Laurie Hough: Thanks, Tim, and good morning, everyone. I'll begin by reviewing our financial results for the second quarter, followed by a discussion of our balance sheet and cash flows. I will also briefly discuss our near-term expectations. During the second quarter, net sales increased 11% to $684 million compared to the same quarter last year, with U.S. factory-built housing revenue also increasing 11%. The number of U.S. homes sold increased 3% to 6,575 homes compared to 6,357 homes in the prior year period. U.S. home volume during the quarter was supported by increased captive retail sales, including the acquisition of Iseman Homes. The average selling price per U.S. home sold increased by 7% to $98,700 due to changes in product mix to more multi-section units and increased pricing at homes sold through our company-owned retail sales centers. On a sequential basis, U.S. factory-built housing revenue decreased 2% in the second quarter compared to the first fiscal quarter. We saw a sequential decrease due to moderating sales volume in the community REIT channel and a focus on pacing production in certain markets as we move into our slower winter selling season. Manufacturing capacity utilization was 60% compared to 61% in the first quarter. On a sequential basis, the average selling price per U.S. home sold increased approximately 4% due to a shift in product mix. Canadian revenue during the quarter was $26 million, representing a 10% increase in the number of homes sold versus the prior year period, primarily due to an increase in demand in certain markets. The average home selling price in Canada increased 7% to $133,300 due to price increases and a shift in product mix. Consolidated gross profit increased 13% to $188 million in the second quarter, and our gross margin expanded to 27.5%, an increase of 50 basis points from the prior year period. The higher gross margin was driven by a higher percentage of total sales through our company-owned retail sales centers in the current quarter and the unfavorable purchase accounting impact in the prior year related to the increase in the carrying value of inventory acquired in the Regional Homes acquisition that did not recur in fiscal 2026. Gross margin increased sequentially from our first fiscal quarter and was higher than expectations, primarily due to lower-than-expected material input costs, including tariff impacts, higher captive retail ASPs and favorable product mix. SG&A in the second quarter increased $13 million over the prior year to $113 million. The increase is primarily attributable to higher variable compensation from higher sales and profitability, closing costs related to the previously announced plant closures and the inclusion of Iseman Homes, all partially offset by a $3.7 million gain on sale of one of our idled manufacturing facilities. The company's effective tax rate for the quarter was 23.6% versus an effective tax rate of 21.6% for the year ago period. The increase in the effective tax rate is primarily due to a projected decrease in tax credits due to the change in the new tax law. Net income attributable to Champion Homes for the second quarter increased by $3 million to $58 million or earnings of $1.03 per diluted share compared to net income of $55 million or earnings of $0.94 per diluted share during the same period last year. The increase in EPS was driven mainly by improved operating income. Adjusted EBITDA for the quarter was $83 million, which is an increase of $9 million or 12% compared to the prior year. Adjusted EBITDA margin was 12.2% compared to 12% in the prior year period. We anticipate near-term gross margin to be in the 26% range as we manage through cautious consumer sentiment and softer demand in certain markets. Variability in consolidated gross margin is expected quarter-to-quarter, reflecting shifts in product mix and the proportion of sales through independent sales channels and our company-owned retail sales centers. As we navigate the market, we continue to balance SG&A spend while continuing to drive our strategic growth priorities, including investments in people and technology. As of September 27, 2025, we had $619 million of cash and cash equivalents, and we generated $76 million of operating cash flows during the second quarter. In the quarter, we leveraged our strong cash position and returned capital to our shareholders through $50 million in share repurchases. Additionally, our Board recently refreshed our $150 million share repurchase authority, reflecting confidence in our continued strong cash generation. I'll now turn the call back to Tim for some closing remarks.
Timothy Larson: Thank you, Laurie. We are pleased with our second quarter results and how they reflect the Champion team's unwavering focus on our customers and delivering on our strategic priorities. In our third fiscal quarter of 2026, we continue to navigate the dynamic macro and consumer environment with agility and steadfast execution. We are up against a unit sales shift from Q2 last year into Q3 due to the hurricanes in North Carolina and Florida, which will impact the comparable year-over-year sales. As we assess all of these inputs, we currently anticipate our third quarter revenue to be flat versus the third quarter last year. This continues to be an exciting time for Champion, and we remain confident in the strategy we're executing across our stakeholders as each directly aligns with the broader trends and policy changes that are in support of off-site built homes. Thank you, everyone, for tuning in today's call and for the Champion Homes team for their continued execution as we progress through this fiscal year. I look forward to updating you on the third quarter in early 2026. And now let's open the line for questions. Operator, please proceed.
Operator: [Operator Instructions] And the first question comes from Greg Palm with Craig-Hallum Capital Group.
Greg Palm: Congrats on the results. Tim, you broke up pretty hard, at least on my end when you were going into details about kind of community and builder developer. So maybe you can just go back to some of the comments and explain what you were seeing in those 2 markets specifically.
Timothy Larson: Yes. As expected, community was down in the quarter as the community worked through some inventory and some softening in some markets. We certainly had some community operators up, but on the balance, it was down. And we anticipate some of that continuing in the near term. On the builder channel, that grew, and we continue to build the pipeline in the builder channel, which just reflects this emergence of that channel for us as we think about reaching more consumers through a different channel. So we're pleased with the progress in the builder channel. But those are the 2 things that we hit on those channels.
Greg Palm: Okay. Perfect. And then the ASPs up, I'm just curious, can you break out the impact from both mix, singles to multi, but also more sales going through company-owned stores? And do you have like a percent of sales going through captive versus year ago periods or sequentially, just some reference point for us?
Laurie Hough: Greg, so we had about 37% of our sales go through our captive retail stores versus 34% roughly, give or take, last year and in the first quarter. So that pull-through through captive retail was significantly higher for us this quarter than we've been seeing. As far as multi-wide and single-section homes, we don't disclose that publicly, but we have seen, over the last couple of quarters, an increase in multi-section. So sequentially, our ASPs are up primarily because of that mix.
Greg Palm: Okay. And just any thoughts on sort of what you're seeing this quarter or expectations in terms of the mix of units going through captive, whether that is consistent or changes at all?
Laurie Hough: Hard to say what that's going to be from quarter-to-quarter this early in the quarter, just given timing of closings and weather-related events and so forth. But we do expect pricing generally to be impacted more by mix than by price actions.
Operator: And the next question comes from Daniel Moore with CJS Securities.
Dan Moore: This backlog, despite the choppiness, held up nicely and reflect including 3% or 4% growth in shipments. Just maybe talk about the direction of how orders are trending thus far as we look into October and into early November. And I guess, I appreciate the color on sales for this quarter, flat year-over-year. Where do you expect to kind of maintain current levels of production? And are there maybe regions where we're pulling back a little bit just as we get into the seasonally slower period? Any color there would be helpful.
Timothy Larson: Yes. Through October, we were hearing good reports of traffic and some order encouragement, but that is balanced against the year-over-year impact I mentioned with the shift from Q2 to Q3 last year. In terms of the production approach, we certainly are doing that plant by plant, and we look at that region market and pace the production rates accordingly. But obviously, you see our backlogs were 8 weeks, which is across the board. And so some markets, we have opportunities to work through that and others are a little bit lighter. But ultimately, we grew backlog sequentially. Obviously, it's down year-over-year, which also is what we factored into our view for Q3. So on the balance, I think the team is doing a really good job being nimble in each of those markets and executing our playbook accordingly.
Dan Moore: Got it. And then piggybacking on Greg's question, crystal ball it a little bit further, but what are you hearing from both sort of REITs as well as builder developers as we think about kind of turning the calendar to '26? Are we in kind of wait-and-see mode, waiting for rates to come down? Is there a talk of more expansion given a little bit more maybe stability and visibility? Just -- again, I know it's very, very early, but what are you seeing there in terms of their midterm plans?
Timothy Larson: Yes. I'll start with the builders. Given that channel is a smaller percent, we certainly see continued growth in that channel based on the pipeline that we have. And what we're encouraged by there is we had an event in Cleveland, where we brought a number of builders in from around the country that are either in-flight projects or potential new projects. And they're encouraged about the progress that they're seeing, whether it's zoning support or also what they've heard from our best practice projects around the country. So I think we're going to continue to be able to have that be a strength of ours as we go into the upcoming year, albeit within the total number of percent of our total business. On the community side, I mentioned in the near term, we anticipate some moderation there, and that really depends on the community operator and also where they are in their cycle. So I think we're pretty balanced in terms of our thought process with community. And that as we go into next year, it really is going to be term different factors, ultimately the end consumer. So if we see some more strength at the end consumer, then that obviously feeds all the way up through the community and the REITs. But we did anticipate some of that slow down a bit in the community channel for the quarter, and we saw that, and we see some of that in the near term. But I think that's more tied to the general market, and there's certainly going to be opportunities for some community operators depending on their project flow. So that's why we're taking the balanced approach relative to that channel.
Dan Moore: Got it. Last for me. You mentioned the ROAD to Housing. A lot of talk lately by investors about potential benefits of specifically removing the chassis requirement, another potential legislation. I guess you mentioned the -- it's kind of moving past the Senate, moving to the House. What are your thoughts in terms of where you see the most potential direct impacts? And how do you think about the magnitude of the potential benefit of some of this legislation?
Timothy Larson: Yes. I think we look at it from a macro perspective of what doors can it open up in municipalities that previously were more restrictive. The second piece is what can we do from a product perspective, whether that's 2-story as well as some different elevations that again open up the market. That's all dependent on how long it takes to get through the next phase of legislative process and then ultimately through the HUD process. So we're certainly anticipating those elements and being prepared for that. But I think it also speaks to a broader trend that we're seeing around the overall off-site build category. There's more visibility for it. There's more awareness that certainly get more attention at the legislative level. And I think that's from a longer-term trend, a positive for the industry. And so our strategies, the 5 that I've laid out, are really geared towards being in a good position to execute on those opportunities as they come about.
Operator: And the next question comes from Phil Ng with Jefferies.
Philip Ng: Congrats on another strong quarter in a tough environment. If we think about fiscal 3Q, Tim, should we expect ASPs to be fairly stable sequentially? I know mix is going to be a swing factor. But if ASPs are pretty stable and you're guiding to flat sales would imply volumes down, call it, mid-single digits in 3Q, which is a noticeable step down from the first half run rate. So I know there were some timing nuances at play, but anything else to call out where you're seeing trends soften a bit? I know you've given us some color on REIT and the builder side. But what about the retail side? So just kind of help us unpack the trends you're calling out for 3Q in particular.
Timothy Larson: Yes. The year-over-year piece is really a driver from what happened last year Q2 from Q2. That's a key factor. And then the other piece is as far as the other channels go. So far, I said we're encouraged in October with our retail channels, but we've got a ways to go there. So at this point, we're balanced in terms of that. Because of the community impact, it's a significant percent of our total volume. That's a key driver. And then I would say in terms of the mix and pricing, what we saw this last quarter on the ASP was more mix driven from more single section to multi-section. That movement can happen -- change quarter-to-quarter just based on what's happened at the consumer level. And part of it is in this last quarter, we introduced more new products that were geared towards the multi-section. And so we had that initial response to those homes. So that balance is going to play out through the quarter. And I think that also speaks to the multi-section is a function of our consumer that may come from that single family or that new buyer. And at the same time, there's also a lot of affordability buyers that are focused in the market where you have single section. So some of that is in our thesis for the quarter. So I would say those are the different factors where we played into our view for the potential flat for the quarter. But ultimately, we're driving every day and going to do the best through the quarter through those execution priorities. But those are the key factors that drove into that.
Philip Ng: Yes, that's helpful perspective. I mean you called out some of this choppiness in the REIT side already. I mean it sounds like more of the same, but I don't want to put words in your mouth. And then October trends for retail, pretty similar to what we've seen last quarter.
Timothy Larson: So far, we're encouraged by both the traffic and the orders, but the traffic is a leading indicator. So we need to see that play out with the consumer in the upcoming months. And yes, the choppiness in the REITs, I mean we've got certain REITs that are growing, others that are holding back a bit. So I think that's part of where we factored in that balance.
Philip Ng: Okay. And then I appreciate you don't have a crystal ball on the legislation front, but the ROAD to Housing Act is certainly very encouraging. It's out the door with the Senate already. The House obviously needs to mark up their version of the bill. But do you have any insights if there was any large differences in terms of how they're thinking about the opportunity in the bill that they're tackling? Any nuances with government shutdown in terms of timing? I know there is a steel chassis element, which could reduce the cost by $15,000 on a list price of ASP in the $100,000 range. But any other pieces that we should be mindful of where it could really reduce the cost for the end consumer from an affordability standpoint?
Timothy Larson: Yes. I think in terms of the legislative process, there is some impact, obviously, with the shutdown, but there was a positive outcome in the Senate, which I think gives a good indication, plus you've seen a lot of the noise and chatter and positivity around the need for affordable housing. So I think that bodes well. In terms of some of those other dynamics in terms of the cost, there's going to be some elements of that. But what we're looking at is how does it open up the broader industry with zoning and more adoption and then how do we think about product. And so those are going to work through. There'll be adders, deleters in terms of cost as you think about the -- to create a home that really works well with that approach. But net, at the end of the day, it's going to be the price value to the consumer. We're already at a good price value to the consumer advantage. So I think it's more about bringing in more customers is the main goal. And then where we do have opportunities to get that to consumer, we will. But ultimately, there's going to be some other product innovation that comes out from it. And certainly, from a transport perspective, you're not leaving the chassis there, so you're going to get some recycling benefits from the chassis in terms of that element. So those are all factors that I think will bode well for the opportunity if that comes together.
Operator: And the next question comes from Matthew Bouley with Barclays.
Matthew Bouley: I want to stick with the ROAD to Housing as this is clearly progressing. My question is, what are you doing to kind of get ahead of these potential changes, whether it's the permanent chassis or otherwise? Kind of what investments might you be considering in your own manufacturing or transportation? What do you think you need to be more nimble about this if it does happen? And I'm also curious if the industry is advocating for any changes on the financing front as well.
Timothy Larson: So in terms of the readiness for it, our product development teams are always evolving, innovating, come up with new products that's been helping us here through the year. So that's part of the process. And then we own our own transportation company and Star Fleet. So the benefit of that is we can directly make moves there that are necessary to support the change. The reality, though, is we'll have to see how long it takes to get through the legislative process and thus, you have to have HUD to put it in implementation. So there's those factors in terms of timing. So I would say that's kind of an approach, the balanced approach we have getting ready for it. And we do -- I think we've got the time to do it the right way.
Matthew Bouley: Okay. Got it. Secondly, the captive retail and the mix to multi-width and, I guess, the higher like-for-like prices as well. I mean, it's obviously a tough consumer backdrop out there. I think mix and price is probably not something you're seeing on the site-built side right now. So I'm curious if -- from your perspective, is this more just, as you mentioned earlier, just the tough affordability out there that you're sort of potentially drawing buyers from site-built into MH? Or was there kind of a previous opportunity in your product that was available out there and you just kind of reached more for it? So any additional color on that?
Timothy Larson: Yes, exactly. There really are 3 things. In our captive retail stores, we've mentioned, we didn't take price for a while. And so there was an opportunity but the larger piece that hit this last quarter was the shift to more multi-section and that relates to the new products we introduced that certainly are more of a fit for the buyer that's looking for more space, more square footage. And yes, you're right that when we bring in new buyers to our category, some of those new buyers are in that segment that's looking for those larger homes. But to your point on price point, the third piece is that we're already relatively a less price point to site built. So even though we have some gains, we're still much more affordable given our wholesale price point. So it's those factors that are really driving that.
Operator: And the next question comes from Mike Dahl with RBC Capital Markets.
Michael Dahl: Tim, just to add one more on to the ROAD to Housing, obviously, very topical. I believe there's a part of the permanent chassis discussion is that there would be a voluntary opt-in from states, and so you could have a state-by-state approach to whether they're opting into that chassis removal. So I was wondering if you had any insight into kind of what that would look like. And I guess the basic question is like hypothetically, let's say that this were to get passed by the end of this calendar year, how long do you think it would take to get some of the things like the space on board, the fleet and logistics and product mix? Is this a calendar '26 impact? Or should we really be thinking about this is all great, but material impacts maybe still a couple of years out?
Timothy Larson: Yes. Great question. In terms of the timing, that's what I was referencing in terms of the HUD implementation, how long does that process take? And again, we're assuming that it gets through the legislative process. So I think it's fair to say there is a longer runway in that regard. What we are seeing, though, is as there's the communication about this, more states are engaging in terms of understanding how can off-site built homes be a bigger solution for affordability. I referenced in my remarks the example in New York. And so I think we get the benefit of that more in the near term, but the full benefits are going to take some time in terms of the rollout that we talked about.
Michael Dahl: Okay. Got it. And then I guess shifting gears back to the near term. So I think previously, you were talking about 25% to 26% gross margin being the near-term range. Now it's about 26%. So be at the higher end of that. What are the major moving pieces? Is it really kind of the cost dynamic being less bad than feared or just -- or product mix? Can you help bucket out like what exactly is leading you to kind of the modestly higher near-term range there?
Laurie Hough: It's quite a few things, Mike, actually. As you touched on, certainly lower material input costs than we expected, including the impact of tariffs. So we had mentioned previously that tariffs were estimated to be about 1% of material costs. That came in about half that this quarter. We do expect that to increase as we go into the third quarter, the impact from tariffs, but the team is still doing a really good job in mitigating those. We're also seeing the higher captive retail ASPs as we've been talking about, primarily due to product mix. And then that product mix component was actually a large piece, especially this quarter with the 37% going through captive retail. So it's a mix of all 3 of those items that we expect to continue.
Michael Dahl: Okay. And -- or if I could just sneak a follow-up in, then the sequential decline versus 2Q, how would you characterize the drivers of that?
Laurie Hough: Yes. It's going to be the higher costs from tariffs, as I talked about and then as well as just the slower winter selling season and the cautious consumer confidence coming into that season, coupled both together.
Operator: And the next question comes from Jesse Lederman with Zelman & Associates.
Jesse Lederman: Quick one on the tariff-related impact. You noted about 0.5% increase from tariffs that you expect to rise. Do you expect it to rise to the previously articulated 1%? Or do you think it will rise a little bit higher than that? And is there any impact from Canadian lumber tariffs on Canadian lumber?
Laurie Hough: Yes. So we expect it to be in that 1% of material costs in the third quarter and going forward. And yes, we factored in the additional 10% on that countervailing antidumping duties in Canada.
Jesse Lederman: Got it. On the revenue front, on the last call, I think that was in early August, you had 1 month of the quarter. You noted orders were tracking lower than in the prior year. So just curious, given the very strong results from a year-over-year perspective through the balance of the quarter, what changed over the subsequent couple of months relative to your expectations? And how have those kind of indicators been tracking as we continue on here into early November?
Timothy Larson: Yes. As we mentioned, the community channel is consistent with what we anticipated. The 2 retail channels, independents and captive, performed stronger through the quarter and then our builder channel as well, as I mentioned. And so those contributed to the stronger performance. And then the shift to the multi-section was another driver. When you launch new products, you see what's the uptick going to be, and there was really strong response to those new products during the quarter. And so I mentioned in October so far, we're encouraged by the traffic and the early orders, but those need to play out through the rest of the way, and we're watching those in each of our channels very closely, but we do expect the community still to moderate.
Jesse Lederman: Okay. So it sounds like the consumer got a little bit stronger as you went from July to August and September, and you're seeing a little bit of that continue. Does that sound about right? And perhaps some of the top line, especially from an ASP perspective, the catalyst there was maybe some of the new multi-section products. Does that all sound right? Or is there anything you'd change from that summary?
Timothy Larson: Yes. I would say in the multi-section products for sure. I think in terms of the consumer, that certainly is going to be retail location by retail location, geography by geography. And so we're watching that closely. We certainly see some positive momentum in some of the markets for the new products that we're driving, but there's other markets that are not as strong. So I think that's just part of the reality of today's consumer depending on where the geography is and some of the key drivers. But I'm encouraged by the new products that we're coming out with because we've talked a lot today about multi-section, but we also have really compelling offerings on that entry level, that single section, and those are key in those markets where that's the primary buyer. So I think your assumptions there make sense, Jesse. And I think ultimately, it's the balance of that playing out through the rest of the quarter, and we'll update you that in January.
Jesse Lederman: Okay. Last one for me. You touched on some perhaps market-related differences. Could you maybe expound upon which markets have been maybe particularly strong and others, even if you could summarize by region, if that's a better characterization, which have been a little bit weaker?
Timothy Larson: Yes. So the Northeast and Southeast this last quarter were the stronger markets for us from a geography, some moderating in the West. I previously mentioned the West had been stronger. I think on a quarter-to-quarter basis, you're going to see some shifts depending on if there's larger community orders coming in, in those markets and also the consumer dynamic. But the Northeast and Southeast were stronger for us and then some moderating in the West. And then you can see the national data in some state by state, but we certainly are pleased with the progress in the Southeast, which is where our strongest retail presence is.
Jesse Lederman: One quick follow-up on that, if I may. What do you think drives the stronger performance? Do you think it's inherent demand from the consumers relative to the products you have available maybe at retail locations in those markets? Or do you think it's supply driven and some of your stronger markets have the least amount of supply, whether that's entry-level new homes or existing home inventory or something like that? Do you think it's kind of demand related or supply related where you may be seeing some regional differences?
Timothy Larson: There certainly is the demand element in terms of where the consumer is at in those particular markets. And as we introduce the new products, we can pull in more of those consumers. So that would be demand driven. There's also a channel element relative to where we are across our various channels. So if we've got a builder project that's advancing, that can drive that market for in a window. And then we've talked about the community. So it's a combination of those factors, the channel factor and those key customer buyers and then also the end consumer on the demand side.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back to Tim Larson for any closing comments.
Timothy Larson: We appreciate everybody joining this morning and your continuous interest in Champion Homes. We look forward to updating our progress on our next call. Thanks, everybody.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.